Martin Sorrell: Good you are taking the breathe. So welcome everybody to our 2022 Results Presentation. We have got everybody is spread all over the world. Firstly, I apologize for the timing of this is all down to my schedule. I had a personal commitment here in Israel, which collided with the date for our results. So we decided to announce the results after market hours today, which we have done and have the analyst presentation today as well. And I am joined with Victor Knaap; and Scott Spirit and Mary Basterfield here in London. Wes ter Haar is in Mexico and -- Mexico City, I guess; and Chris Martin is in Mexico City as well. So not in Acapulco or Saloon, but in Mexico City. And then we have got Brady Brim-DeForest in Maine, in his library in Maine. So, with that, we have got a pack schedule. We have got our results. Mary will cover the results. You have got the presentation. It’s up on our website. You have got copies of it. On slide two we have got the agenda. We got our results. Mary will run through. Scott will run through market momentum, what we are seeing from clients, generally in the market and analysis -- the client analysis. And then Victor will jump into Content and then Chris go through data or progress in Data and Digital Media and then Brady on tech services. And then Wes will do a session on artificial intelligence, which is the topic de jour that everybody is really interested in, and we are, too, taking a lead in it. And then I will just do a brief summary and then we will get into Q&A. We think the presentation will take something like 45 minutes. So, firstly, Mary.
Mary Basterfield: Thank you, Martin. So, good afternoon, everyone, and thank you for joining us today. I look forward to catching up with many of you during the Investor Roadshow. I will start with the financial highlights. Strong topline momentum continued in the second half and we delivered net revenue of £892 million for the full year, up 26% on a like-for-like basis. This is ahead of our 25% target and well ahead of underlying market growth. Operational EBITDA was £124 million, slightly ahead of guidance. We significantly improved EBITDA in the second half and delivered £94 million, compared to £30 million in the first half when personnel costs ran ahead of net revenue growth. This improvement was the result of continued topline growth, supported by tight controls on investment in people. Operational EBITDA margin for the year was 14%. This includes a sharp improvement in the second half to 18%. The discipline we have instilled on costs, which includes careful control of hiring will be maintained into 2023 to support our margin delivery. Adjusted profit before tax was £90 million and adjusted earnings per share were 11.8 pence. We finished the year with net debt of £110 million below the guided range due to continued focus on working capital management. Leverage was 0.8 times. Turning to the next slide. I’d like to update you on the work we have done on the finance team, processes and controls. Our Group finance team is now well established. The senior hires we made in the first half, which include a Group Financial Controller, a Group SP&A and Transformation lead and the Group Treasurer, have largely completed the build-out of their teams. So we now have a team that is operating well and is appropriate for the size and growth ambitions of the company. Our Content Finance team has stabilized under the leadership of a new CFO who joined in the first quarter of 2022. It now has the necessary expertise and experience to support the practice and its revenue recognition. Our outsourced internal audit function is working well and we are now hiring ahead of internal audits as planned. In addition to maintaining strong controls on our investment in people, we continue our focus on billings and receivables to drive improved working capital. Whilst we have made significant improvements and the audit process for 2022 has been much smoother with results delivered in a timely manner, our work will continue during 2023. Moving to the income statement. Revenue grew 56% on a reported basis to £1.1 billion with like-for-like growth at 24%. Reported net revenue of £892 million, grew 59% or 26% like-for-like. This highlights the continued underlying momentum of the business in addition to M&A activity. We continued to convert clients at scale. In 2022, we had 10 whoppers. That is clients who generate over $20 million of revenue per annum. This is up from six last year and eight as reported at the half year and while we are scaling back our work with one of them in 2023, we are making good progress towards our target of 20 whoppers, with 14 more clients trending towards whopper status. The increase in reported operating expenses reflects continued investment for growth including whoppers and setting ourselves up with a first-class artificial intelligence offering. Within Data and Digital Media, we have also invested in media agency of record capabilities, automation and measurement for a cookie-less future. Some of this investment in growth was ahead of revenue growth, which impacted our operational EBITDA for the first half and hence the full year. Operational EBITDA for 2022 was £124 million, up 23% on a reported basis and down 16% like-for-like. I have given you a breakdown of adjusting items in the table on the left-hand side. You can see that we invested £156 million, primarily in M&A, as well as a small restructuring charge as we optimize the business teams. A further £79 million relates to amortization of acquired intangibles. This includes an adjustment for 4 Mile Analytics, a combination made in January 2022, which has not performed as expected. So we have acted promptly to write down the goodwill and intangibles. The other two combinations we made in 2022, TheoremOne and XX Artists are performing well. Finally, the increase in net finance expense is driven by a full year of the euro term loan put in place in August 2021, as well as higher interest rates. This loan provides us with long-term secure financing to fund the greater scale and ambition of the Group. Looking next at our three different practice areas; Content, Data and Digital Media, and Technology Services. My comments here are all on a like-for-like basis. Our largest practice, Content grew strongly, up 24% as we continue to outperform the market. Content’s operational EBITDA margin reflects hiring running ahead of net revenue growth in the first half. We have addressed this through tighter controls on our investment in people, and as a result, we saw a noticeable improvement in the second half, taking the full year margin to 13%. Data and Digital Media net revenue grew 17%, also ahead of the market, with strong growth from media activation and data. DDM’s operational EBITDA margin was 18%, down against a strong prior year. This reflects a challenging second half with net revenue growth lower than the first due in part to macroeconomic conditions. We have taken action to align the cost base with activity levels. Technology Services includes a significant combination TheoremOne from mid-May and delivered very strong growth. Net revenue was up 72%, with a healthy operational EBITDA margin of 39%. Central costs grew as guided, reflecting investment in finance, legal and assurance to support future growth. From a regional perspective, the Americas grew 27% and remain our biggest region at 76% of the mix. EMEA was the fastest growing region, up 31%, driven by whopper clients. And Asia-Pacific grew 5%, as it was impacted by COVID lockdowns in China. Moving on to the next slide. You can see that we continue to maintain a strong balance sheet. As I mentioned earlier, we refinanced in August 2021 to support the scale of the business. The facility summarized here provide us with significant financial flexibility for further growth and M&A. Moving to cash flow on the next slide. CapEx of £16 million includes the fit-out of our new unitary offices in Buenos Aires, New Delhi and London, as well as investment in IT infrastructure. Interest paid represents the term loan, which has been in place for the full year, while higher cash tax reflects our increased scale. We are benefiting from our focus on billings and receivables and as a result, saw a working capital outflow of £5 million, compared to £33 million in 2021. This represents a change in working capital of 0.3% of billings versus 2.6% in the prior year. Free cash flow of £70 million. The cash spend on combinations was £163 million, including TheoremOne, XX Artists, 4 Mile and payments relating to prior year activity. It takes net debt to £110 million, which is below the expected range and we continue to focus on cash management. Turning to guidance for 2023. We are cautiously optimistic despite the challenges of an economic slowdown and expect continued topline momentum ahead of growth rates in our addressable market. So we are targeting net revenue growth of 8% to 12% on pro forma 2022 net revenue of £907 million. For clarity, £907 million is after a modest adjustment for the scaled back whopper and includes the full year benefit of combination TheoremOne and XX Artists. We will maintain our focus on appropriate hiring and discretionary cost controls into 2023 and we are targeting improved operational EBITDA margin of 15% to 16%. As in prior years, we expect 2023 to be weighted to the second half and the fourth quarter, in particular, due to natural seasonality. We anticipate a net finance cash charge of about £27 million and a tax rate of 25% to 27%. Our guidance for cash contingent consideration is £102 million for the full year, with the majority expected in the first half. We have included information on outstanding contingent consideration and invested capital in the appendix and we are happy to take any questions on these at your convenience. In summary, we expect continued progress in 2023, as we outperform our addressable market and improve our profitability. And with that, I will hand over to Scott for the client and market update.
Scott Spirit: Thank you very much, Mary. Good afternoon, everyone. Thank you for joining us. There’s no denying that our addressable markets faced a tougher outlook in 2023. They are not immune to the macro environment. But that said, they do continue to grow despite the challenges. Our core addressable market is Digital Media spend and whilst traditional channels such as TV and print continue the long-term declines, Digital Media is projected to grow 7% to 8% this year. These projections unsurprisingly match the ad revenue growth projections from the sell side for Google, Meta and Amazon, the three largest platform to dominate the digital advertising market. Our Content and Data and Digital Media practices are primarily exposed to the Digital Media and Advertising market. That’s around 90% of our total business. The other 10%, our Tech Services practice secured revenue from digital transformation budget. In a report published last year, Gartner projected digital transformation services, a $200 billion market, would grow at 11.7% in 2023. But when we look at the guidance from our competitors in the market, such as Accenture, Globant and EPAM, it seems that they are looking at around 7% to 10% organic growth in 2023. Within these broader addressable markets, there continue to be exciting innovations and subsectors experiencing very significant growth. Influence and marketing, for example, is now a mainstream channel, we spent over $21 billion this year, growing at almost 30%. I am sure hike around artificial intelligence in recent months is not escape to you. We believe this could have a truly transformational impact on our industry, and Wes will cover this in much more detail later. We are proud of the traction we have achieved so far, with almost 9,000 colleagues around the world, we have proven our ability to scale client relationships. Our market share amongst AdAge’s top 25 agency groups grew almost 90% last year, but it’s still less than 1 percentage point. As we continue to disrupt the industry, our opportunity and appetite to continue taking share remains significant. Finally, we have described S4 as a royalty on digital marketing and transformation before. And this quote from Franklin Templeton 2023 Tech Sector outlook sums that why we remain excited about the path ahead of us. They say, ultimately, we think digital transformation is still in its early stages with long-term secular growth tailwinds, which we believe extend well beyond the current economic cycle. Our 20 Square Client Strategy to achieve 20 scale clients with $20 million or more of revenue continues to evolve. We ended 2022 with 10 whopper clients across five categories. One of these clients will not be a whopper in 2023, but we have identified 14 additional high growth client opportunities across seven categories, which we believe are on track to potentially become scale clients over time. The balance of our client portfolio has remained consistent in 2022, with a little under 50% of our revenues coming from the technology sector. We have had some questions on this, so a few things to clarify. Firstly, our exposure to technology to clients is dominated by the mega tech companies. When I look at our top 100 clients in the tech category, just 2% of that revenue comes from what you call start-ups. So our pet client base is stable, well funded and still very much in quinoa, and it’s not vulnerable or exposed to some of the banking issues we have seen at SVB or Signature recently. We do continue to make progress in other categories. Two-thirds of our next 14 scale client opportunities are from other segments. But we also remain committed to retaining our exposure to the technology sector, which we believe will continue to be a long-term winner and driver of economic growth. The reality is all our clients are in a sense technology clients. The work we do for them is usually around digital transformation and whatever their category, clients are embracing technology for their sales, marketing and operational needs. Technology clients appreciate our digital-first service offer and the agility of our structure and culture. They are also more than clients for us. They are partners. But many of our largest tech clients such as Alphabet, Meta, Salesforce and Adobe, we not only partner with them on innovation and products, we provide services around their products to our broader client base. Suffice to say, we remain bullish on technology. The other client KPIs we share with you on a quarterly basis also saw significant progress in 2022. The concerted sales effort and growth planning for our larger clients has seen the proportion of our top 50 clients taking services from us across multiple practice areas rise from 50% last year to 78% this year. For our top 100 clients, it’s more than doubled to 56% from 25% last year. We see similar traction in the scale of our client relationships with average reported revenue for our top 10 clients up almost 70% to over £47 million. We saw similar growth at our top 20 and top 50 client segments. The table on the right further illustrates the success we have seen with our scale of client relationships and our whopper strategy, 50% growth in the number of clients in the two largest segments and an impressive expansion of the pipeline and potential future scaled clients, too. With that, I will now hand over to the practice updates where Vic, Chris and Brady will share some of the exciting progress and client work we did in 2022. Over to you, Vic.
Victor Knaap: Hello, everyone, and thanks for joining the call. It’s a pleasure to speak about the Content practice. Today, I will limit my presentation to two sheets, one looking back at 2022 and the other one maybe more surprisingly looking forward to 2023. All right. Let’s do this. Our Content practice services more than 300 brands globally. Our top 25 clients deliver around 60% of our business, and as Scott just presented, we are well on our way to deliver on our mission of 20 whoppers. A Content plays an important role in that mission. We serve seven of the 10 most innovative companies in the world with our work for Microsoft, Alphabet, Samsung, Amazon, IBM, Sony and others. And as Sir Martin always mentioned, we focus where the growth is, 17 of our top 20 clients have the highest growth rate in media spend in the category. One of the best indicators of success besides financial metrics is the quality of our work. The PAN Magazine just announced yesterday that we have been shortlisted with three other agencies as Best Global Digital Agency of the Year. Some highlights for 2022 are projects for the Getty Museum, called the Best Website of 2022 by the main Digital Craft Awards and our live streaming work for Google Play, the great work we did with NBA and Meta to celebrate Women’s History Month and our ability to be a leader in the emerging Web3 and Metaverse categories. For the first time in 2022, we quest into the Forrester Wave of Marketing, Creative and Content Services. In Forrester’s view, we are a very strong and innovative performer in the Content production industry, which is reflected in a broad range of industry accolades. To mention a few, IAB Agency of the Year, Top 10 Creative Agency in Cannes, Campaign Global Social Agency of the Year, Adweek Fastest Growing Agency List, Webby Production Agency of the Year and Best Place to Work in the Creative Industry in multiple markets, which brings me to our people. COVID has been tough on the creative industry, in general, but we are determined to continue our good work in diversity, equity and inclusion with initiatives like Gay Pride, NextUp Monks and our S4 Female Leadership Program to make everyone view at home. People are our capital and we will do everything in our power to drive the change that is needed in our industry going forward. So when we speak about forward, please, let’s go to the next sheet. We are keeping it close to home in this section and focus on our offering. We see continued traction due to our one P&L model, which enables us to help our clients across multiple countries, regions, as well as our practices. This sets us up to solve the most important issue in our industry, the integration between data, creativity, media and technology, a necessary component to drive efficiencies and effectiveness of our work. In many cases, we are embedding and integrating our services deeply into our clients, with some of the best creative and digital talent in our industry. And this talent extends into our hubs like Jerusalem, Poland, Mexico, Kuala Lumpur, Madrid, Buenos Aires and many others, which allows us to drive cost efficiencies for our clients and ourselves. The result of this model is that many of our clients are currently being serviced by more than one practice. Some good examples are our brand positioning and integrated campaign work, creative, social and content production for the likes of BMW Mini and our VR work with Meta, where user experience, design and new technology all need to come together. In order to help our clients grow and to simplify the complex content work we will -- we streamlined our go-to-market in five capabilities, brand, social, studio, platform and experience. The capabilities are helping to navigate our clients through the complexity of the digital world and driving our growth and share of wallet. Also our best-in-class capabilities given excellent campus how to grow our VR, positioning and for leadership. A few examples are, how all brands should incorporate DCO, that’s dynamic, creative, optimization in their marketing strategy, how we use data to come to the best marketing mix model and while we are going heavy into these topics, we continuously expand our efforts in driving diversity intact by initiatives like Next Level, a non-profit to stimulate growth and schools to choose an education and career in technology. I hope that explains what kept us busy these last 12 months on the Content side of the business, what our strategy is going forward. And with that, I am going to hand over to Chris, who will tell more about DDM.
Chris Martin: Thank you, Victor. And I definitely agree the cross-selling across the pillars have been amazing over the last year and continue to be so. Excited to share some highlights from 2022 and our outlook on 2023 for the Data and Digital Media practices. This is the first full operating year post-pandemic, where consumer behavior began to settle into a new normal, and much like all of Media.Monks, our Data and Digital Media practices are well positioned to be ahead of those digital trends and capture growth from the inevitable disruption from them. In the last year, our Media practice continued to evolve in winning new era agency of record or AOR assignments, including fully managed services, in-housing, consulting services and hybrid offerings. Last year, we added a significant AOR at State Lauder, North America to our portfolio. Forever 21, a performance-focused client in North America and globally and then Unity Technologies, which is a very notable global AOR win for us and relationship, where we have leveraged our expertise and capabilities across VR, Web3, Metaverse, primarily from our Content divisions to bring the latest technologies and trends in a new way to think about media strategies, measurement planning and buying, which are all part of the traditional AOR relationship, which we think we have iterated upon with that relationship with Unity. Our largest partner, Google has had a lot of activity surrounding the rollout of GA4 this year, which requires a lot of support from their global analytics partnership ecosystem, of which we are one of the largest global partners. We have a very significant case study coming out of Asia-Pacific with McDonald’s Hong Kong, where we deployed GA4 across that market, while they were launching a new in-app service model and we help them grow that region by 550% with online orders. This particular case study was taken by Google and turned into a product launch case study that has been shared throughout the ecosystem, we are very excited about. On the CRM front, our consolidated strength of MightyHive and Maverick investment, three mergers that have come together with significant sales force and CRM capabilities are now integrated into one operating unit and delivery team. That is the customer 360 or c360.monks. And they are winning large scale logos, much larger than in previous years and previous federation and the practice as they continue to grow. And that includes an award from PepsiCo as CRM agency of record for all of North America, all while growing our sales force joint go-to-market partnerships, which we obtained in 2022 and are now renewed for 2023, our Global Salesforce Summit Partner status. And furthering our success in this category of CRM, we also are very excited to be working with Diageo across seller to Victor’s points in a global engagement supporting seven countries and 12 brands within their marketing automation groups, a significant win for the CRM practice. On the commerce monks side of the house, which has expanded their service offering to include new e-commerce platforms, helping our largest whopper clients, now the gate platforms like Walmart, Instacart and Target. We are adding those in addition to our existing Amazon offerings. That category has won new business this year, including consumer product space, Winter Group, Telos and Acme, as well as winning multiple global logos with two major consumer electronics MDA firms. So we are disclosing their names, but they are major global device manufacturers. Reebok and Philips Consumer Products, where our work in the United Kingdom has won us an Amazon Performance Growth Awards for 2022. Moving on to 2023 and giving you a quick view into what we are planning this year. We have four areas of investment and expansion in 2023, and that is in partners, our capabilities -- our core capabilities, automation and thought leadership. We are furthering our engagement with Digital Data strategic technology partners such as Snowflake and Google Cloud, as well as adding two-point solution providers, Habu and InfoSum, which are key in supporting our vision for data foundations for the modern enterprise. It’s a core offering that we have in our data practice that helps modernize today’s industries and businesses to really focus on building a data bus at their company and unlocking it in marketing, advertising, as well as product development. We just added Walmart Connect to our portfolio and our preferred partner status and joint other markets, which will bolster our retail, media and e-commerce offerings. And in addition to other certifications within Salesforce, we have also been added as a preferred consulting partner to support C3 technology and transformation decision-making at the -- for our Salesforce implementations. And you may have seen in our joint press release earlier this year that Salesforce has launched their Web3 Customer Loyalty Platform and we are the preferred go-to-market partner for Salesforce and we are now announcing that we are the strategic launch partner for that product, meaning that we are the first folks to go to when implementing the Salesforce Web3 Customer Loyalty Program. On the automation front, we are continuing the theme of automation and AI, which we will talk about a bit later by launching a dedicated automation consulting practice seeded for our years of research and development and machine learning and data consulting, and we are taking advantage of the commercialization opportunity now in the very fast-growing AI services space within our clients. Internally, we invested heavily in development of automation initiatives, which increase efficiency and productivity of our largest cost base, which is people and we are partnering closely with a company called Workato for internal workforce automation opportunities, and this year, we plan to measure over 40 company-wide workflows -- automation workflows and recipes as they call to directly assess productivity and quality improvements as a result of those in shipments. And then capability expansion, we continue to move upmarket and participate in larger and larger scale RFPs for our media AOR and measurement offerings. And they are being tested more and more in different regions and formats are getting tested for scale. We will be focusing on scaling up to match our success in the Americas and bring that model to EMEA and APAC in 2023. The expansion in global coverage will open up even more doors for us with existing clients and marketers looking to consolidate partners across many markets with a single partner. And finally, our measurement offering focused on faster feedback in cookies measurement leveraging both media mix modeling or MMM, plus MTA, multi-contribution technologies is expanding into Asia-Pacific, North America from a very strong base in EMEA and that will bolster our DDM consulting practice in both APAC and EMEA as well. And that’s all I have for 2023. Thank you for the time today and I will hand the mic over to Brady to walk you through our Technology Services through 2022 and 2023.
Brady Brim-DeForest: Thanks so much, Chris, and thanks all for joining the call today. I am excited to be here. For the Technology Services pillar, 2022 was all about integration and growth. The year began with just one part of the technology pillar in place, our team in Colombia, Zemoga SAS, in May TheoremOne joined, at the end of 2022, the team had scaled to over 1,000 strong across a variety of disciplines, including engineering, product management, design, strategy and business consulting, all housed within the fully distributed structure of the combined organizations. The integration work really began in earnest in June of 2022 within under -- within 90 days, we had built an integrated leadership team the combined the leadership functions across the Zemoga and TheoremOne into a single organization that has enabled us to leverage the combined capabilities within both organizations to really ramp up growth as we are cross-selling capabilities from within both legacy organizations into our pillar account portfolio and within the broader media on account portfolio. We have partnered very closely with the growth organization inside Media.Monks, Joe Olsen and his team and we have deployed members of our staff into different parts of the Content and DDM ecosystems functionally, but also geographically in order to begin in earnest the process of cross-selling really from the bottom up and we have seen some initial tangible progress and some meaningful wins as a result of that selling activity, including new clients from the Technology Services pillar like PayPal and BMW. Beyond that, we have been focused very specifically on leveraging our tailwinds from early 2022 to extend our land and expand strategy, and we have closed some notable new clients, including BCG and Delta Dental, as well as Philips, which are important new players in our ecosystem. From the half -- from the second -- the beginning of the second half of 2022, we added 19 new clients into the Technology Services portfolio. I think it’s important to note that the Technology Services portfolio expands at a different rate, given the size of the deals and the complexity of the projects that we typically deliver. So our sales cycle is considerably longer than what we have seen comparatively inside of Content and DDM. So we are getting used to bring any of those to different sales heartbeats together in a line so that we can effectively cross-sell. Another important part of the growth story in 2022 was new partnerships, including those with Google Cloud, AWS, Dapper Labs, Blues Wireless. They are all part of arming up and beefing up our capabilities when it comes to the material side of our time and materials engagements. From a people experience perspective, there is an incredible amount of competitive tension in the marketplace still even with downsizing and workforce reductions that have taken place within the Silicon Valley ecosystem. The talent market is still very hot and so we have been very intentional about continuing to invest in retention and continuing to invest in talent acquisition. We added over 200 new team members in 2022, all on the billable side of the house for the most part that are helping to drive that very considerable growth that we saw over the last 12 months. Keeping our clients happy, of course, is incredibly important and we have built out the next generation of our client heartbeat monitoring capabilities that are ensuring that we are keeping a very close pulse on how our teams are effectively delivering to our clients. Many of our programs are quite significantly scaled, hundreds of team members deployed inside of a particular account, and so managing executive relationships and client stakeholders and really investing in their individual success within their organizations as a big part of our recipe for success. Other notable points to share, we are expanding into new industries. One of the more notable wins that I want to share with you today is a new initiative with the Department of Defense in the U.S., which we believe has significant capacity to grow. That work stands on top of the wonderful infrastructure that we have in place, both inside of legacy TheoremOne and Zemoga around our quality management system and around our firewall capabilities to delegate teams specifically assigned to federal and government contracting work. For the second year, we have been ISO certified in our Colombia operations and we are expecting in 2023 to expand ISO certification to other parts of the pillar. When we look ahead to 2023, the emphasis is really capability expansion. Obviously, a big part of what is coming down the pipe in the next 12 months to 18 months is going to be disruption driven by artificial intelligence technology within our client’s ecosystems, but also that’s going to change the way that consumers engage with brands. So a big focus for us and this year is expanding our AI and machine learning capabilities across both industry verticals and across our functional areas within the pillar itself. We are also investing heavily in scaling our business consulting practice, which is a critical part of how we land and expand inside of our client’s ecosystems. The work that we do inside of that function is really designed to plant the seeds that enable long-term digital transformation and that -- those strategy engagements are a critical part of building the long-term predictability and forecastability into our own pipeline. Finally, our proof business, which is our workforce acceleration capability is seeing significant opportunity given the broader disruptions in the technology ecosystem around talent, in particular, proof is seeing a significant amount of additional recs that are being opened as clients are shedding and prospective clients are shedding W2 headcount and moving towards a more adaptable orientation for their workforce. So we see significant growth opportunities within our strategic staffing and staff augmentation functions. That’s everything for Technology Services. So I will hand it over to Wes to talk about the really fun stock.
Wes ter Haar: Thanks, Brady, and hey, everyone. I am going to dig into the AI piece of Brady and Chris both heat up. And just on the personal, I don’t think I have ever been more excited about a technological change or advancement in our industry. I think it’s honestly amazing what it is already on working you can only sort of hypothesize where that is going to end. What we wanted to do today is talk about 10 minutes or so about our point of view, what we are doing. So there might be some time for questions in our Q&A at the end as well. Just to give you a sense of our way to sort of run assets. We go to the next slide. I think it starts with our role and responsibility in the industry. Our initial loves talking about the future, sort of pointing out at a vague hand waving about things that might happen. That’s not what we focus on. We focus on now. What’s happening in culture, commerce, technologies and what can we do to unlock value for our clients right now and that tends to be part efficiencies and parts growth, either continue to grow for incremental net new faces to find that growth, and I would say through that level now, the key conversation is AI. If we go to the next slide, I would say, mostly generative AI that has really sort of doubled up the public consciousness. There’s lots of conversation happening outside of our industry mostly because of ChatGPT latest version released very recently. And because of all of the visual opportunities and output that we are now seeing from a variety of tools and technologies. So, of course, we have to do a little gotcha question, which is which of these images were created by human. The answer, of course, is none of them. And I think that’s a real moment. The intent and polish that you can now get from these tool sets is so much further warm than it was six months ago, that we really have to understand that this is another iPhone moment for our industry. And that’s not saying these ads are perfect or that replacing creative work, but they are typical archetypes, right? Archetypes in beauty, in automotive, in CPG, in consumer electronics, in QSR, in travel, the fact that you can get that level of intent is really a game changer. And we can call it on an iPhone moment, it might be as impactful as the commercialization of the Internet for our industry. And knowing what we know, the lesson we have learned time and again is when these foundational shifts happen, you have to lean in, right? You have to be fast and a first mover. You have to be excited about the opportunity. If you look through our history, from all of our teams combined, be it e-commerce or mobile, as far as in social, programmatic, we made our biggest gains, because of those foundational shifts. So that’s really our goal is to transform ourselves to be the most empowered and super power player in our industry when it comes to AI, I think, we are well on our way, but we also want to make sure our clients are the most empowered and super power players in their industry. And then I think what tends to happen when the hot cycle sort of hit our industry is you will see a lot of PR and awards trickery. If you are looking at this face to go win Grammy, Priya Khan [ph], you are missing the point. This is about foundational change at the very core of the marketing services business. And if we go to the next slide, that’s our opportunity, an explosion of work for a tech-enabled, data-driven, media savvy, creatively a tune partner like ourselves. That will open up massive amounts of opportunities and transformation work. Brady talked a bit about this, so I won’t belabor the point, but this technology is powerful. It is not perfect and it is not turnkey. The massive amount of work in new pipelines and workflows and ecosystems and APIs and tech stack implementation to make sure marketing ops is at the cutting edge. Most of training of teams and talent, we are doing that for ourselves, we are committed to doing that for our clients as well. And then beyond transformation, it’s about what it unlocks and I think on a free turn extent, it unlocks the original promise of digital advertising. This idea of hyper personalization, we can deliver Content at such massive scale, we are moving from AB testing to A to Z testing, getting to highly personalized ads, experiences, customer journeys, really a new level of brand experience and that without digging into all the innovations and products and services that this will open up, especially if you look at how quickly this space is moving. We can talk about this for a very long time. If you are interested, make sure to download our report, the AI revolution will be generated. Again, you will see we were fast and one of the first movers in talking about this phase in a meaningful way. Has been getting great feedback from subject matter experts from the industry and also from our clients. If we go to the next slide, I also think really this is the model and it makes our mobile inevitable to an extent. We go back to what we said and promised as we started S4 about four and a half years ago. It was really about faster, better, cheaper, more value and you can put more in both, the ability to scale up output and use the knowledge from that scaled up output to create more value is key to what’s going to happen next. And the other part of our promise is always being the smartest, fastest, most saving player to unlock the value from the difficult -- different tech stack and platforms that captures so much of today’s attention between customers and brands. If you look at what that means for our different practices, number one, data, our model was never about buying sales basically legally or ethically questionable data sets. There is always about the race to data maturity, making sure our clients win that race to make our data useful and actionable. Chris talked about this a bit earlier. That has always been urgent. I think it’s been super powered because of what has happened over the last six months. If you look at media, again, the model was always around automation, tech implementation, connecting closely to data. There was never about massive amount of executional staff across the globe and we expect to see really big disruption in this space. Tech, of course, it will scale up the output from our teams and to Brady’s earlier point, create large digital transformations needs that will keep going and going as these technologies evolve. And then when you look at Content, it’s always been about being the best translator of what is possible in a technology or on a platform to how that actually connects the consumers in a way that drive growth. So what are we doing? We are helping our clients figure out solutions for personalization at scale, we are even further disrupting in our agency model, something that we have been doing for a few years already. We are looking at ways to combat creativity. I will talk a bit about that on the next slide and then doubling down on the side of the original intent of digital advertising, highly personalized, really specific customer journey that experiences that look in and hopefully keep growing a customer base. If we go to the next slide, pipeline and partnerships, we are an early mover in this space. To Chris’ earlier point, we launched our AI automation team last year pre to hype cycle. You have looked at some of our thought leadership that goes as far back as five years, six years when we talk about the creative opportunities that generative AI will unleash. This is a natural shift for us and everybody on our end is very excited by how quickly that shift is now happening. We already have AI-enabled pipeline across all of our practices. We are either in projects or in advanced discussions for projects with seven out of our 10 biggest clients. We are an automation partner for one of the world’s top streamers and entertainment companies, and I expect us to have AI projects plus work streams with all of our major clients or close to all our major clients as we go throughout the year. Partnerships, Chris talked a bit about this as well. It’s key to our model, right? If we are the partners to go to help you all value from the technology and platforms that are so key to today’s culture and community. We need to be the very best of making sure we can make those platforms and technologies perform. We have a partnership in place now with a big advertising driven platform to figure our way to come back creative IT [ph] using AI. Creative IT is one of the major decisions of value in media spend. If we figure this out, it’s a massive unlock for our combined customer base. So what is our strategy? We are going to double down on what we see as an early mover advantage. We see it as a way to increase market share. To Scott’s earlier point, we are less than 1%. We are growing quickly. We think this will allow us to grow even more. And of course, we will continue to make our core business more efficient by using the technology to available. And then as we go to the last slide before I hand over to Sir Martin for the summary, a little tuning cheek, but we did ask ChatGPT to write an analyst report for us. Through the lens of S4 emerging as a leader in AI integration in the advertising marketing services space, driving continues innovation and having that be a real competitive edge for us. You will not be surprised that, that turns out really well for us in 2025. All joking aside, we are a disruptor in our industry. To us, all disruption is good disruption and AI, in particular, place our strengths and really fortifies our model. So we are extremely excited about everything that’s happening. And with that, that’s my 10 minutes. I will hand back to Sir Martin.
Martin Sorrell: Thanks very much, Wes. Thank you. So just to summarize on the last slide 34 before we get into Q&A. Full year results were slightly ahead of the guidance we gave you, both at revenue and EBITDA line revenue exceeded £1 billion for the first time in our history and operational EBITDA and margin delivery improved sharply in the second half. Net debt was better than the guidance we gave you. Basically, through better working capital management. We made significant progress in improving financial controls in the areas of treasury and risk management and governance, too. Very pleasingly, we have had further client conversion at scale. We had 10 whoppers last year, six the year before and two the year before that. So we are making significant progress to our 20 Square goal of $25 million of $20 million of revenue plus. We have identified another $14 million, as Scott laid out. Second half, certainly, we showed discipline around investment in our human capital and controlling discretionary set. We made good progress on our ESG strategy in the areas of zero impact workspaces and sustainable work in diversity, equity and inclusion. We have got continued momentum in our two major addressable markets. That’s the platform-driven part of our addressable market and Technology Services. Albeit, we have to say, at reduced levels of growth, given what’s been happening in terms of economic volatility. Our focus in 2023 is to continue to build on the growth in our whopper clouds on conversion on scale to deepen our efforts in integration across our three practices and our geographical areas and to provide, as Wes just outlined, industry-leading advances in AI for our clients, which we think will have a very significant disruptive effect on the traditional industry. And finally, we are targeting like-for-like revenue growth ahead of our addressable markets for 2023 and EBITDA margin target of 15% to 16%. So, with that, we have been going now for almost an hour actually. I will hand over to the Operator for Q&A.
Operator: Thank you, Sir Martin. [Operator Instructions] First question is coming from Omar Sheikh calling from Morgan Stanley. Please go ahead. Your line is open, sir.
Omar Sheikh: Yeah. Good evening, everyone. I have got three, if I could, please. Maybe the first one for Martin. How much conservatism Martin you baking into the guidance for the year? Can you maybe just talk about what sort of headwinds you might be seeing right now and what you are expecting on that front on the topline for 2023? That’s the first question. Secondly, maybe for Mary. Can you talk about the headcount plans for the year? What was the year end headcount in 2022 and what are you assuming for 2023 in terms of headcount by the end of the year? And then, finally, maybe one for Wes on AI. Thank you for the presentation and the thoughts there really helpful to hear what you are doing. Could you maybe talk about how S4’s capabilities have been differentiated relative to what your peers are doing and how do you maintain that differentiation? And isn’t it the case that doesn’t AI essentially basically generative AI, doesn’t it lower the barriers to entry for smaller competitors. So doesn’t it disrupt you particularly in Content going forward? Those are my three questions.
Martin Sorrell: Okay. Not easy to answer questions. Wes, do you want to kick off on AI and then Mary and I will come back to the services.
Wes ter Haar: I love that getting the first not easy to answer question. So the -- it’s the right question to ask. So I think there’s a few parts to that, what differentiates us, number one, this is not bandwagon jump in. You can look at our history, both what we have produced and how we have talked about the world to show that we have been on this road for a long time. What is differentiated is a lot of the progress in output is maker driven and there isn’t a player of our size or rather sort of seen as a comparative player that has as much maker talent to put some practices, which means a lot of our progress is grassroots. It’s not something that we need to decide at the ALT level and hope to be able to execute. It’s actually happening day-to-day and it’s driving all of the innovation already. The third piece is, this is clearly disruptive. This might be industrial revolution type disruptive outside of our industry. My belief is, you have to be fast, you have to be a first mover, and if you do that well and support our clients in the right way, there’s massive growth of this moment on the other side. And I am extremely bullish on our ability to move fast. And in some cases disrupt our own work who you are doing so, because we have less legacy that we have to disrupt. We are ready for this moment. I hope that helps answer the question.
Martin Sorrell: Okay. Mary?
Mary Basterfield: Thanks. Hi, Omar. So from a headcount perspective, we finished 2022 with about 8,900 people. And as we look forward into 2023, so we will be maintaining the discipline that we employed in the second half of 2022 around our investment in people. And what that means is that every headcount is very carefully considered. We have tight controls on additions coming into the business and also we continue to optimize our team. In terms of what that means for 2023, it means that the headcount will be much more balanced against the topline and when we think about our budgets, we are expecting a modest increase in the year.
Martin Sorrell: Okay. Just one thing to add what Wes said to Omar’s question about new entrants. What this does do and I think, Wes, sort of implied it, is it makes it much easier for a 9,000-person organization to compete against 100,000 or 50,000. So it gives us much more flexibility, I think, than we had before. On the 2023 guidance, I mean, inherently, it is conservative, because we have looked at our budgets, which are bottom-up budget. So on the Content side, on the DBM side and on the Tech Services side, this is very much this year bottom up and we put certain hedges and reserves into those figures in coming to the guidance that we have outlined in the RNS. So I think the first point to make in relation to what we are saying about 2023 is we have been, I think, looked at our budgets and looked at them carefully. And that’s very much in the second -- in the context of the second point, which is that the clients took a fair amount of time to close off their budgets for 2023, at the end of 2022. I mean normally, clients would be finishing their operating budgets, not their marketing budgets, which come out of the operating budgets, but there are operating budgets, let’s say, October, November and this year, last year and the back end of the last year and this year, they have taken longer to do so and that’s understandable in the context of volatility we have had. I mean we have got a number of things going on in the world at the moment, which make a call for a very volatile environment and clients, I think, are skittish, sales cycles are longer. I don’t think we have seen significant cuts. But I think we have seen people delaying decisions, hesitating to make decisions because of that uncertainty. So that’s reflected Omar in what we are coming out with in terms of guidance on the budgets. Next question?
Omar Sheikh: That’s very clear. Thank you, all.
Martin Sorrell: Thank you.
Operator: Thank you, sir. We will now move to Julien Roch calling from Barclays. Please go ahead, sir.
Julien Roch: Yes. Good evening, everybody. Four questions, but two quick. The first one is on Mondelez. Why you think you lost the account and what are you doing not to lose another big account? And how much net sales contributed in 2022. Second question is, so far, your three-year plan was always doubling net sales of three years, but you haven’t given us a three-year plan this time around. So do you think you have shifted down from 25% growth a year to a lower level or do you think you can go back to 25%? And then the quick question is the 8% to 12% outlook is organic to apply on the £907 million pro forma, that capture M&A, but that doesn’t capture what would be the FX. So what would be the FX impact if exchange rates stay at current level? And last question, still no M&A as long as share price is below £4.30? Thank you.
Martin Sorrell: Yeah. So the last question is, yes. So we basically are focusing, as we said in the presentation and the release of organic growth and integrating what we have, which obviously the complexity of doing that showed itself in various ways and we have to deal with that and are dealing with that. I mean, Mary, do you want to talk about the exchange rate impact and the £907 million and the 8% to 12%?
Mary Basterfield: Yes. Of course. So the -- you quite rightly called out the £907 million that we have called out in the presentation as the pro forma base on which to base the growth for 2023. That assumes the average 2022 exchange rate, which was the dollar was 123. And we have based our budgets and our outlook on that average, so on 123. Now were we to see movement in the dollar rates, about $0.01 is worth about 5% to 6% net revenue and around 1.5% at an EBITDA level. So that would be the variation in relation to that.
Martin Sorrell: Okay. On the doubling point, Julien, that’s a difficult one. What we have tried to map out and Scott did in his presentation, what we think is going to happen in our two major addressable markets, not just in 2023, but looking a little bit ahead to 2024 and 2025. We have prepared our three-year plan. It is very aggressive. In terms -- let me leave it at that in terms of its objectives and I think our people take the heart quite seriously trying to build very strong organic growth rate. So I would say the three-year plan is very ambitious. Having said that, if you look at the organic growth rates for the two major addressable markets, one, driven by the platforms, which is 90% of our business and the other 10% by Technology Services. The growth rates, as Scott said, are down to about 7% to 8% on the platform side and 8%, 9%, 10% on the digital transformation or Technology Services side. That’s for 2023. If you look further than that, the growth rates are greater and I think you broadly can, say, obviously, it depends, there’s a wide number of prognostications, but broadly, for the platforms say, through to 2025, its low-teens growth, so 10%, 11%, 12% growth compound growth. For the Technology Services, it’s high-teens. So you are talking about 16%, 17%, 18% growth. So that gives you a sort of the parameters. Now we have always said and we continue to say we want to grow faster and we think we are capable. It came out in Victor’s presentation and Chris and Brady’s and Wes’, we want to grow faster than the market. So I think you can you can think about our major addressable markets growing low-teens, high-teens as we go through to 2025. Digital moving up from at 60%, 65% of budgets to 75%. And that the under -- the fundamental underlying growth rate is -- will still be quite strong. I was looking at circular came out this morning from Michael Nathanson, which differentiated heavily between analog and digital just for 2023 for media spend and maintain H2 rates for digital low, I think, it was 11%. Scott will correct me if I am wrong, I think, it was 11% in the second half of the year. So, anyway, I think, basically, the growth rates remain strong and our ability to hit high organic growth rates remain strong in the context of even what’s been happening in 2023. On Mondelez, it’s very difficult to comment and neither would we wish to on a specific client. But I would just sort of move away from the specifics and just say that, when you are involved in projects of that -- of those kind. They involve organizational changes on both sides, on both the client and the agency side, which are sometimes difficult to do, and I think in many cases, you end up with a situation where it’s important that both sides can see a way through, and we did say in the release, we mutually agreed on ceasing that contract. It’s only part of the Mondelez relationship. We continue to have a significant relationship with them elsewhere. And the impact, I mean you asked about the impact of £17 million, right? Is that right? Correct, Mary?
Mary Basterfield: Yes. It’s just below 2% of net revenue.
Martin Sorrell: Yeah. Yeah. Is that cover everything, Julien? I think we lost Julien.
Operator: Okay. Sir, no he just actually disconnected. Okay, sir.
Martin Sorrell: Okay.
Operator: Thank very much. And -- thank you, sir. We will take a Steve Liechti, Steve calling from Numis. Please go ahead.
Steve Liechti: Yeah. Hi, there. Just while you are on the Mondelez, can I speak for Julien and say I would have asked if I was him. Can you just talk about any other big projects or clients that might have a similar sort of warning signal that Mondelez might have had that might be at risk? So that’s the first question. The second question…
Martin Sorrell: No. We can clear that one up, no.
Steve Liechti: Okay. And if I just push you on that slightly, if I look at the big pitches that you won like a big auto manufacturer?
Martin Sorrell: Yeah.
Steve Liechti: That I shouldn’t put that in the same box as the CPG one?
Martin Sorrell: No.
Steve Liechti: Okay. Good. Thank you. So then just can you talk about pricing and costs…
Martin Sorrell: Yes.
Steve Liechti: … for 2022 and 2023. So on pricing specifically, what sort of price rises did you get through and what sort of salary increases did you put through and what are you expecting in 2023? And I guess, more fundamentally, given the sort of faster, quicker, cheaper mantra. Just philosophically, are you a price setter or a price taker as a business?
Martin Sorrell: Okay.
Steve Liechti: And then my last question is, can you just talk us or walk us through the sort of consolidation of the business under one brand and the one operating model.
Martin Sorrell: Yes.
Steve Liechti: Just sort of tell us where you are in that, what’s gone well, what’s not gone so well, where we are in that journey? Thanks.
Martin Sorrell: Okay. Mary, do you want to talk about salaries for, I don’t know.
Mary Basterfield: Sure. So in terms of 2022, we saw salary inflation of around 7%. Our expectations for 2023 are a bit lower than that, so mid-single digits for the year coming.
Martin Sorrell: And on pricing, I think, we have got -- we had some flexibility in pricing. I mean, Wes and Victor and Chris and Brady can chip in on the pricing. We saw some flexibility, obviously, with inflation. And if clients are fixing their budgets as a percentage as many do, particularly packaged goods of revenues and they are getting price increases of some significance in some cases last year it was 30% within 18 months. Your budgets are run off that nominal number and you have got some pricing flexibility with suppliers. So I think on pricing and I think we have managed to do that. I would tell on pricing, we have further to go on pricing, particularly in relation to contracts and I am not talking about long-term contracts, I am talking about even short-term. So I think there’s still some work to be done on that. I mean anything you want to add Victor or Wes or Brady on pricing. No.
Scott Spirit: Okay. I will…
Martin Sorrell: Hey. Go
Scott Spirit: I will jump in, yeah, very quickly, Sir Martin. So on the Technology Services side of the house, we have historically seen consistent opportunities to level set pricing along with value delivered and we have continued to see that trend over the course of 2022 and leading into 2023. There’s certainly downward pressure in some areas, but I think most of that is going to be alleviated through kind of shifting the services mix as we continue through the year. So I don’t have any significant concerns about pricing pressure at.
Martin Sorrell: Okay. On the branding side, I mean, Wes, do you want to talk a little bit about what’s being done on the branding and naming and maybe even on our North Star project as well?
Wes ter Haar: Yes. Of course. Strategy is still the same. I think our differentiation against in single brand and single P&Ls. We are seeing that play out in real time as our biggest clients are doubling down on us as a scalable strategic partner because of that model. We have a series, we have 60% to 65% of the business integrated fully. We are quite a lot of integration lined up in Q2, which has been prepped last year. So we will see even bigger part of the organization operate truly as one. But I think it comes down to -- it sort of plays into our positioning, the go-to-market work that our team has done and our, like Bruno and Luca for all the major work there and whole team they work with on that. Our position to market is focused on now being able to create the flexibility of such a macro expertise on our side for our clients and take out the silos and buyers that were mainly being placed in a more traditional sort of legacy network model that really is that now famous. We can sort of jump in and create opportunities way faster than you would have in more solid organization. And so the strategy has worked for us really well so far and we will see a lot of progress in the next three months when it comes to some of the remaining levels being fully integrated.
Martin Sorrell: Yeah. I think, done sort of, I mean, Wes said, sort of 65% of the company. I think we are probably two-thirds to three-quarters of the way in the journey and we know precisely what more needs to be done in terms of integration in the U.S, and probably in Asia. We need to do more work in that area in terms of integration. Does that cover your point, Steve?
Steve Liechti: Yeah. That’s very useful. Thank you.
Martin Sorrell: Got it.
Operator: Thank you, sir. [Operator Instructions] We will now go to Mr. Matthew Walker of Crédit Suisse. Please go ahead, sir.
Matthew Walker: Thanks lot. Good evening, everybody. Just a few questions, please. The first one is, looking at the budget of 8% to 12%. I mean, you outlined a bit of conservatism in there, but just conceptually, when you look back at prior years, your outperformance of the market was really significant. So it was like your organic growth was double what your markets were growing at or in that region? I am a little bit surprised that you are not growing that in your budget, you are not growing that much above your markets, even though your total addressable market opportunity is really large and you have got a lot of competitive advantages. So that’s the first question is, why is the projected growth not more higher than your markets? I mean it’s a little bit higher than your markets are growing at, but not much. The second question is when you think about that 8% to 12%, could you maybe think about it by division, so Media, Content, Tech Services for you guys? And then, finally, a question for Mary is on the share count. You said 670 average for this year. Can you give us, I guess, there’s going to be no more M&A but for the while. But can you give us the average share count you are thinking about in your model for 2024 and 2025, please?
Martin Sorrell: Yeah. Do you want to answer that, Mary?
Mary Basterfield: Yeah. Of course. So we have called out the average share count for 2023 around 670 for weighted average for this year. In terms of 2024 and 2025, so we have been clear in the appendix on the expected shares to be issued during 2023. And then when you move forward into 2024, effectively you have a time based waiting, which changes on those shares issued in 2023, but then as we go into 2024, we don’t actually have any further cash contingent consideration or expected contingent consideration of shares. So you just need to make an adjustment for the time weighting of those issued in 2023. The important point I would make is that, the weighted average share count includes the deferred shares at the point at which they crystallized. So they should already be in your numbers. Does that help with you?
Martin Sorrell: Okay. On the second question you asked, Matthew, on the -- between the divisions. We are not giving the breaks, but we are prepared to say that, in terms of growth in 2023, the highest growth rate is in Tech Services in terms of the budgets and the guidance, it’s Tech Services. Second would be DDM, Data and Digital Media. And third would be Content. So that gives you an idea of the future for the three practices. On the budget, I think, it’s a question, I think, you in your own notes, Matthew, that put out recently have commented that, there -- I think it was in your note, it highlighted the statements by various CFOs and CEOs and others about how they see 2023 and I think -- I still think there’s considerable outperformance. If you look at where the holding companies are in terms of their guidance for this year, 3% to 5%. You are talking about a significant outperformance to what other companies are doing in the industry. So I wouldn’t say that this is remarkably different in terms of outperformance. I think what we are reflecting is the world is a very volatile place at the moment has been volatile to be fair since January of 2022 when the war started within Ukraine.
Matthew Walker: Yeah. I just meant really it -- I just meant it really relative to your markets, which are basically digital markets.
Martin Sorrell: Yeah.
Matthew Walker: Whereas the other agencies are much more…
Martin Sorrell: Yeah.
Matthew Walker: … analog exposed. So I just think in the past, you had higher outperformance of your own markets and what you are…
Martin Sorrell: We will see.
Matthew Walker: …projecting now?
Martin Sorrell: I would just put a line there, we will see what the markets come out at and we will see how we come out of it. I mean I think we have taken this year…
Matthew Walker: Okay.
Martin Sorrell: … an approach to it is very much people bottom up saying where they think it’s going to come out because of the uncertainty and we will just have to see how it shakes out in the course of the year.
Matthew Walker: Okay. Thanks a lot.
Martin Sorrell: Thank you, Matthew.
Operator: Thank you, Mr. Walker. As we have no further questions, Sir Martin, I’d like to turn the call back over to you for any additional or closing remarks. Thank you, sir.
Martin Sorrell: All right. Well, thank you. Thanks, Operator. Thanks for doing that. A big thank you to Brady, to Chris, to Wes and to Victor and Scott and Mary and thank you all for joining us. We had a large number of people who call. We only have one call at this time as we have managed to catch the U.S. contingent on the same call. And I apologize again for the unearthly hour and that we couldn’t do it on a normal basis due to personal commitment I had. So thank you very much indeed. I look forward to seeing you when we report Q1. Any further questions, let us know. Thank you very much indeed.